Operator: Good day, everyone and welcome to the FPL Group second quarter 2008 earnings release conference call. Today's conference is being recorded. At this time for opening remarks, I would like to turn the call over to Mr. Jim Von Riesemann. Please go ahead, sir. Jim Von Riesemann Thank you, Kim. Good morning everyone and welcome to our second quarter 2008 earnings conference call. Lu Hay, FPL Group's Chairman and Chief Executive Officer will provide general comments on our quarterly performance and discuss our earnings expectations. Lu will be followed by Armando Pimentel, our Chief Financial Officer, who will discuss the specifics of our financial performance. Also joining us this morning are Jim Robo, President and Chief Operating Officer of FPL Group, Armando Olivera, President and CEO of Florida Power & Light Company, and Mitch Davidson, President and CEO of FPL Energy. Following our prepared remarks, our senior management team will be available to take your questions. Let me remind you that, our comments today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any statements made here and of our future operating results or other future events are forward-looking statements under the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from such forward-looking statements. And discussion of factors that could cause actual results or events to vary is contained in the appendix to our presentation and in our SEC filings. And now, I will like to turn the call over to, Lu Hay. Lu?
Lu Hay: Thanks, Jim. Good morning, everybody. This morning, I'm happy to be able to report very good performance by FPL Group for the second quarter 2008. During the quarter adjusted earnings per share increased about 8% year-over-year. FPL Energy had another outstanding quarter, and Florida Power & Light delivered solid results despite what we believe are very challenging market place conditions. I'll give you a few highlights for the quarter from each of the company's and then, Armando will provide greater detail for each. Florida Power & Light's, earnings per share contribution increased about 2% year-over-year mainly because of favorable weather. FPL's business continues to be negatively impacted due to weak economic conditions in the country and the state. In the quarter customer growth was lower than our historical norms, but still increased by 0.5%. Although, overall usage was up due to weather, non-weather related usage was down. We have also seen a steady increase in the number of very low usage customers. Those are customers with usage below 200 kilowatt hours in a month, which we believe indicates their homes were empty. We continue to have a very constructive regulatory framework in Florida, as reflected by a number of important actions in the quarter. Governor Crist signed into law a new energy legislation that focuses on reducing carbon, promoting renewables and improving the state's emissions profile. The Governor signed that legislation at his climate change conference in Miami on June 25th, where we joined him to announce our plans to build 110 megawatts of solar generation, at three facilities in Florida. These facilities include the world's largest photovoltaic array and the first hybrid energy center that couples, solar thermal technology with an existing combined-cycle generation unit. We also received approval from the Florida Public Service Commission for recovery of $746 million in fuel costs, which were above our original fuel estimates for the year. As a reminder in Florida, we do not earn any profit from fuel, so the charges represent a passthrough to our customers. While we recognized that higher fuel charges have a detrimental impact on our customers, it also contribute to a positive economic rational for projects, such as our modernization of older fossil plants at Riviera and Cape Canaveral. Turning to FPL Energy. We grew adjusted earnings per share grew on a year-over basis by 17%. Underlying the results, was strong performance within the existing portfolio and contributions from our new assets, primarily new wind projects developed and put into service last year, in our Point Beach nuclear facility acquired in September of 2007. With respect to new wind assets, since the second quarter of last year, we have added about 1400 megawatts to our portfolio. For the full fiscal year we are on target to add 1200 to 1300 megawatts of new wind assets. As we indicated on our first quarter call, we remain confident that 2008 will be another record year for FPL Energy in terms of adjusted earnings and correspondingly, it will be another record year for FPL Group. For FPL Group, we are reaffirming our 2008 and 2009 adjusted earnings per share expectations, as well as our goal for at least 10% average annual earnings per share growth through 2012, using our 2006 adjusted earnings per share as the base. For 2008, we continue to see a reasonable range for adjusted earnings of $3.83 to $3.93 a share, given normal weather and no further material decline in the Florida economy. Although, we are not updating our segment guidance at this time, if we experience normal weather for the balance of the year and subject to our normal caveats, we believe FPL's earning per share contribution will fall short of our original expectations, while FPL Energy's contributions will be above our original expectations. For 2009, we continue to believe that $4.15 to $4.35 is a reasonable expectation for our adjusted earnings per share. We expect to provide more detail on our 2009 expectations and provide our initial view, on 2010 expectation sometime early this fall. Now I will turn the call over to, Armando Pimentel to provide more details on our second quarter results and I would come back to provide some additional comments with respect to our longer-term outlook after he's finished. Armando.
Armando Pimentel: Thank you, Lu. Good morning, everyone. The second quarter 2008, FPL Group's GAAP net income was $209 million or $0.52 per share, compared to $405 million or $1.01 per share during the 2007 second quarter. FPL Group's adjusted 2008 second quarter net income and EPS were $375 million and $0.93 respectively, compared with $348 and $0.86 per share in 2007. The difference between the reported results and the adjusted results is the negative mark in our non-qualifying hedge category, which I will discuss in more detail later in the call and the exclusion of other than temporary impairments or OTTI, both of these adjustments effect FPL Energy's results. Please refer to appendix of the presentation for a complete reconciliation of GAAP results to adjusted earnings. FPL Group's management uses adjusted earnings internally for financial planning, for analysis of performance, for reporting of results at the Board of Directors and as input in determining whether certain performance targets are met for performance-based compensation, under the company's employee incentive compensation plan. FPL Group also uses earnings expressed in this fashion, when communicating its earnings outlook to analysts and investors. FPL Group Management believes adjusted earnings provide a more meaningful representation of FPL Group's fundamental earnings power. As was the case, when I spoke to you in the first quarter, customer growth and weather adjusted usage continue to be affected by the downturn in Florida's housing market and broader economy. Taken into account Florida's economic environment, Florida Power and Light second quarter results were about what we had expected. Weather in the quarter was warmer than normal and last year, and therefore provided an increase in our earnings when compared to the prior year's quarter. Increases in O&M and interest expense, plus increases AFUDC on the West County energy center and the nuclear upgrade projects, were largely inline with our expectations. As Lu mentioned, on June 25th, Governor Crist signed into law the 2008 Omnibus energy bill. Legislation is intended to address Florida's impact on climate change and includes numerous provisions that will affect the state's electric utilities. We have provided greater detail in two slides in the appendix. So let me take a moment to address several areas of the law that might be of particular interest. First, the Public Service Commission is directed to develop rules for renewable portfolio standard by February 1, 2009. These RPS rules must be ratified by the legislator to become effective. Before, the RPS becomes effective, the new law also allows for full cost recovery for up to 110 megawatts of interim renewable projects, which will allow us to recover our costs on the solar projects, Lu mentioned in his opening remarks. In addition, the Department of Environmental Protection is directed to develop rules for a cap-and-trade program, to reduce greenhouse gas emissions. The DEP cannot implement the rules before January 1, 2010 at the earliest. And the Legislature must ratify them before they become effective. As a reminder, our emissions rates at Florida Power and Light make us one of the cleanest electric utilities in the country. Our CO2 emissions rate is 35% below the national average, based on the most recent 2006 data from the Department of Energy. We have met new electricity demands with more efficient, state-of-the-art generating facilities that produce less carbon dioxide, sulfur dioxide and nitrogen oxide emissions per megawatt of electricity generated. We are also helping our customers reduce electricity usage through conservation and demand side management programs that further reduce emissions. In fact FPL's the national leader among electric utilities for its partnership with customers and energy conservation. We like to say that energy efficiency is our first fuel, even though FPL serves only 3% of U.S. electric consumers the company has achieved 13% of all U.S. energy efficiency. Each time we seek permission to build a new power plant, we must first prove to the PSC, that we have implemented all energy efficiency options determined to be cost effective by PSC criteria. Since 1979, FPL has been able to avoid the need for 12 medium-sized power plants. As noted in mid-July the PSC approved cost recovery of our proposed 110 megawatts of generation which should be in service by year end 2010. The total cost of the three projects is expected to be approximately $700 million. Through the environmental clause, we will earn a return on equity on this investment which is currently set at 11.75%. And finally, earlier this month, we received PSC approval to recover $746 million in increased fuel costs, during the next 17 months. Half of that amount will be recovered in the remaining months of 2008 and the other half in 2009. We are also permitted to recover the costs of carrying these under recoveries at a commercial paper rate. Significant increases in fuel prices, since our annual fuel filing last year made it necessary for the company to ask for this mid-year fuel correction. The PSC decision which we received confirms the most important principals governing fuel costs recoverability in Florida. Some of you have asked for additional detail regarding, when we think the Florida economy will improve. And although, we are in no position to predict such timing, we can't share with you certain Florida economic indicators and the impact these are collectively having on Florida Power & Light's underlying trends. Historically, Florida has been a leader in job creation, outpacing the rest of the country. Florida job growth peaked in the fall of 2005 concurrent with the housing boom and the reconstruction following the 2004 and 2005 hurricane seasons. Since then, employment growth has been contracting and the state is now experiencing negative employment growth. The primary driver behind the employment decline is the reduction in construction related jobs, as well as, related supporting service functions. Florida's 5.5% unemployment rate now matches the U.S. average. Personal income also remains weak. The revised 2007 figures released in May 2008 by Global Insight indicated that personal income in Florida was essentially flat from August 2007 to December 2007. Turning now to slide 7, the chart on the left shows single-family housing starts. This chart is quite similar to the one we shared with you on our year end conference call in late January. There was a lag of about two years before our customer growth figures reflected these decreases in housing starts. This lag is largely reflective to the time between the initiations of the construction permit and when the building is finished and the new meter is set. The graph on the right shows that multi-family housing starts in Florida do not appear to have experienced the same run up as seen in the single-family market. However, the multi-family starts have also decreased significantly from the peak in 2005. Let's turn to slide 8. As this chart indicates the average number of FPL customer accounts increased by 21,000 or 0.5% from last year's comparable quarter. That rate is below our 15 year long-term historical growth rate of about 2%, and well below that experienced in our recent past. Consistent with what we said in the first quarter, for the rest of the year we expect customer growth rates that are roughly consistent with our actual results for the first half of the year. We have also seen an uptick in low usage customers. This graph shows a percentage of residential customers who used less than 200 kilowatt hours in a given month. Historically, we experienced some level of low usage each month, representing normal customer movement, for instance, a customer whose meter is read within a day or two of opening his or her account will likely fall into this category. However, since the second quarter of 2005 the share of customers in this category has increased almost 10%. Our average residential customer including low usage customers currently uses about 1140 kilowatt hours each month after adjusting for normal weather. We believe this increase in low usage customers is primarily a result of empty homes. Although the current economic environment remains challenging, we continue to believe the long-term outlook for Florida is favorable. Many economists and economic consulting firms believe that the current downturn is one that is cyclical in nature and not secular. University of Florida and the U.S. Census Bureau project that Florida's population growth will outpace the rest of the nation in the coming decade. This inward migration should have an obvious benefit in employment growth as well. The table on the accompanying slide summarizes the drivers of retail kilowatt hour sales growth for Florida Power & Light which we've discussed over the course of the previous five slides. As I indicated second quarter weather comparisons were favorable, as a result, usage growth associated with weather increased 3.8% quarter-over-quarter. However, underlying usage growth mix and other was a negative 1.1%. Combined with 0.5% customer growth, retail kilowatt hour sales increased 3.2% in the second quarter versus the year ago period. For the second quarter Florida Power and Light reported net income of $217 million, compared with $211 million in last year's second quarter. The corresponding contributions to the EPS were $0.54 this year compared to $0.53 last year. For the second quarter FPL's 2008 O&M expense was $379 million, up $13 million from the prior year figures. The primary drivers of the increase in O&M for the quarter were fossil generation, owing to the timing of outage work and structural maintenance, as well as, transmission and distribution costs and a small uptick in bad debt expense. For the full year we continue to see increases in nuclear and fossil generation costs, due to the full year impact of Turkey Point Unit 5 and customer service costs particularly bad debt expense as being the main drivers of O&M growth. Let me address bad debt and accounts receivable for just a moment. To give you a brief snapshot, of our aged accounts receivable at the end of the current quarter consider that accounts between 31 to 90 days past due, increased about 9.5% compared to the prior year's comparable quarter. And although, total accounts receivable balance is over 90 days is only roughly $8 million that is an increase of approximately 26% from the prior year's quarter. To put things in perspective however, our bad debt expense net of recoveries for the second quarter was $1 million more than the second quarter last year. We are very focused on this issue and have added additional resources and processes to actively monitor our aged accounts receivable. The table on the accompanying chart summarizes the driver of our earnings growth for Florida Power and Light, which netted to an increase of $0.01 per share. In the interest of time, I will not read each number to you. For those of you without immediate access to the slides, they are available in the investor section of our website www.fplgroup.com. To summarize, Florida Power and Lights earnings were largely where we expected them to be, after taking into consideration, the trends that I just discussed. Modest customer growth and warmer weather offset lower core usage, higher operating expenses and a number of other small negative effects. Let's now turn to FPL Energy. FPL Energy had another very strong quarter, driven primarily by contributions from new assets, both new wind projects and the September 2007, acquisition of the Point Beach nuclear facility, as well as, by strong performance in the existing portfolio, excluding the scheduled Seabrook refueling outage. We benefited from higher pricing across most areas of the portfolio, although we felt some pricing pressure in West Texas. Our entire ERCOT operations were roughly inline with what we had planned. We look at our entire ERCOT operations under a single portfolio approach and were pleased that our EBIT numbers for existing ERCOT assets were 28% better than last year. In general, the wind resource was favorable versus a year ago and relative to our expectations. These positives were partially offset by the scheduled Seabrook refueling outage, which alone affected earnings by $0.10 per share. We continue to be highly hedged against the major sources of commodity price volatility for 2008 and 2009, with more than 98% of expected equivalent gross margin for 2008 on our existing assets protected. The equivalent figure for 2009 is 87%. Thus there has been no real material change in these figures, since we last shared them with you on our first quarter earnings call, and chart supporting these figures are contained in the appendix. We will provide initial detail on our 2010 hedging status during our third quarter earnings call. We are also making excellent progress in our wind development pipeline. We have acquired and/or built and placed into service approximately 400 megawatts of new wind assets this year and expect total of 1,200 to 1,300 megawatts to be placed into service by the year end 2008. Needless to say, we have quite a number of wind assets under construction at this point, with most being placed into service in the fourth quarter of this year. We continue to expect to add between 7,000 to 9,000 megawatts of wind over the 2008 to 2012 timeframe. This goal comes with the unusual caveat that we need, continued public policy support, additional transmission capacity that is capable of transporting renewable power to load centers and a healthy supply chain. FPL Energy's 2008 second quarter GAAP earnings were $3 million or $0.01 per share, compared to $203 million or $0.51 per share in last year's second quarter. Adjusted earnings, which exclude the effect of non-qualifying hedges and other than temporary impairments or OTTI were $169 million or $0.42 per share, compared to $146 million or $0.36 per share last year. The after-tax impact of the non-qualifying hedge category was a loss of $157 million. Primarily, as a result of increased power and natural gas prices that negatively affected the value of the derivatives, we used to hedge our power output. As we've indicated before, losses in this category mean that the value of our future cash inflows, as well as our unhedged assets is increasing. As always, we have provided more detail on these transactions in the appendix and we continue to believe that FPL Energy's current period performance is best understood by excluding these amounts, whether gains or losses from consideration. Additionally gains or losses in this category will turn around in future periods as the underlying contracts go to delivery. Our adjusted earnings also included an adjustment to GAAP results for the effect of other than temporary impairment losses on our investments, in nuclear decommissioning funds at FPL Energy. We first called this item out, during our first quarter earnings call. Continued losses in these funds performance as a result of the large decline in equity prices during the quarter, required us to record $9 million in net losses. Turning now to the drivers of the growth in FPL Energy's adjusted earnings, contributions from new assets namely wind and Point Beach accounted for a $0.11 per share improvement in quarterly results. Roughly $0.08 of this can be attributed to incremental wind assets. As Lu mentioned at the outset, in the last 12 months we have added about 1,400 megawatts of new wind and acquired 1,023 megawatts of nuclear capacity. The earnings from our existing assets came in virtually flat compared to the prior year second quarter. The existing wind portfolio came in ahead of the prior year's comparable quarter owing to an above average wind resource, primarily driven by the wind resource in Texas, offset by some unfavorable pricing in Texas. On its own, the existing wind assets were up $0.03, compared to the prior years second quarter. Absent the Seabrook refueling outage and its impact on the quarterly results, the non-wind merchant portfolio improved relative to a strong second quarter last year, helped primarily by our ERCOT gas assets, which posted results which benefited earnings per share by $0.05, compared to the prior year's quarter. So although the Seabrook outage costs us $0.10 per share and last year's second quarter had a very strong financial performance in our existing assets, the existing portfolio was flat year-over-year. Our wholesale marketing and trading operations contributed $0.04 less this quarter, primarily as a result of economic hedges placed on some of our asset positions that do not meet our strict non-qualifying hedge or NQH criteria. As a reminder, the types of transactions we classify as non-qualifying hedges are those that are specifically identified with each of our assets. All other impacts netted to $0.01 a share, of this nearly $0.05 per share is attributed to supporting the future growth of the business or incremental interest expense associated with the growth and the asset base. This was partially offset by lower income tax expense, primarily associated with favorable tax impacts. As many of you know, gas price volatility has been very high this year. During the second quarter of 2008 gas prices for 2009 through 2012 increased over $2 per MMBtu for each year. As of a couple of days ago however, except for the very short-term part of the curve, prices were fairly consistent with March 31, 2008. The near term effect on our portfolio of significant changes in gas prices is small, because we were generally highly hedged in the short-term. Our changes to our asset values, caused by significant changes in gas prices in out years where we are less hedged is often significant. Many of you have asked for little more information on our Texas wind assets. As a reminder, we run our Texas assets under a single portfolio approach. I would like to spend some time discussing market conditions in the ERCOT west zone and the impacts on our hedge to wind portfolio in that region. During the first half of 2008, we saw a decrease in ERCOT west prices attributed to a number of factors including a significant number of major transmission line outages, between west and north zone for maintenance, higher than average wind resources resulting in higher wind generation, and a continued build out of new wind projects. A majority of our merchant wind assets in Texas are highly hedged with power derivatives at the west zone through 2009, thereby mitigating most exposure to market prices. While the forward market pricing has reflected the increased amount of time wind is on the margin, in ERCOT west this has been partly offset by higher gas prices resulting in higher power prices when gas is on the margin in ERCOT west. In mid-July the Public Utilities Commission in Texas approved an approximately $5 billion plan to build 2,300 miles of new transmission lines that will connect the renewable rich zones of ERCOT, with the north and south ERCOT zones. This plan which is upgradeable in the future will support 18,500 megawatts of renewable capacity in Texas. We are encouraged by the actions of the Texas legislature, ERCOT and the Public Utilities Commission of Texas or to build transmission from West Texas to the load areas in North and East Texas. The competitive renewable energy process commonly referred to as the CREZ process, is a collaborative effort among all stakeholders, generators and load alike to invest in new transmission infrastructure, which supports the energy future of Texas. The current high gas prices are translating in to higher power prices for the electric consumers in Texas since gas plants are typically setting the marginal cost in the market. This new transmission will allow Texas to tap into vast wind resources, in the west and deliver this competitively priced energy to the population centers. This transmission investment provides not only a highly favorable economic return for consumers, but also provides an environmental return, by displacing fossils fuel generation with clean wind generation. Due to its overwhelming benefits, we expect that this new transmission infrastructure in Texas will become a reality over the next three to four years. I also want to spend just a minute to emphasize that we have many development opportunities outside of Texas. As we have said before, we have the scale to take actions that others may not. We are a national wind developer, which gives us the option to maximize shareholder value. We continuously monitor several factors including regional market pricing, long-term power contracting potential, and wind resource to optimized location of each turbine constructed. Investment in self-owned transmission lines, to move power from high wind resource areas to high load areas is a consideration factored in to our economic decision making process for each project. One of the ways you can gauge our wind asset pipeline, is by the amount of land that we have under contract, which will serve our future wind projects. We have previously shared with you information on our wind pipeline, including land secured for our wind development activities. This slide is set up just a bit differently and has updated information. The table shown here indicates that a significant amount of our secured land, which supports new build and advanced stage projects is in regions outside of Texas. When we first discussed our land program with you last year, we had secured signed agreements for about one million acres of land. A year later, that number is now over two million acres. In addition, we continue to pursue almost twice as much land as we have currently secured. To summarize this slide, our wind development pipeline continues to grow when it's supported by our activities in the land area. Within the Lone Star state, our secured land is longer dated to coincide with the build out of transmission that I referenced earlier. This of course can change and we have flexibility built in to all of our plans to take advantage of economic changes or trends that we identified. To summarize the 2008 second quarter, on an adjusted basis, FPL contributed $0.54, FPL Energy contributed $0.42 and corporate and other was a negative $0.03. That is a total $0.93 compared to $0.86 in the 2007 second quarter, or about an 8% increase year-over-year. With that, let me turn the call back over to Lu.
Lu Hay: Okay. Thanks, Armando. Clearly there are challenges ahead, especially in Florida over the next year or so. Because I look into the future, I am very bullish about our long-term prospects. We're well positioned for what must inevitably be a clean energy future. Let's look first at Florida Power and Light Company. There is no question that the economy in Florida is unusually difficult. That has affected us and it will continue to affect us until economic conditions improve. We believe this is a cyclical rather than a secular trend, and as such will turn around in the future. Frankly, I'm not interested in calling the turn. I will leave that to the economists. But what I can tell you is that FPL continued to be well positioned when the turn comes. We have the best utility franchise in the country and we think that despite any near-term weakness in economy, our franchise is favored by great long-term demographic trends. We have a constructive regulatory framework that has created a set of a win-win scenarios for our customers and our shareholders. We have plans for significant investments in new generation over the next few years that will substitute capital for lower fuel costs for our customers, also for higher efficiency and for lower emissions. During this difficult economic period, we are optimizing our expenses, but we are not doing so at the expense of investing in a robust infrastructure, that will meet the needs of our customers in the future. FPL Energy is well positioned for continued leadership in a world increasingly and correctly focused on the urgent need to address climate change. I said back in March, when we hosted [Aventura] investor conference and I'll say it again. This is a wonderful time to be in renewables. This does not mean that we aren't focused on the challenges ahead. We are very mindful of the transmission issues in Texas for example, but we are optimistic that these issues will be successfully resolved. This is a business where, a consistent track record of success matters and scale matters, and we have both. Over the next five years we have a very sizeable investment opportunities with superior returns and which should create a lot of value for our shareholders. And as much as we like wind, we also believe the future is bright for solar. We intend to be leaders in this area. Finally, those of you who have followed us over the years know our commitment to operational excellence, to financial strength and financial discipline. All three of these form the critical underpinnings of everything we do and we believe are absolutely critical to long-term success in this industry. Together FPL and FPL Energy, perform in a very complimentary fashion. We are delivering value for our customers and investors alike with our current leadership in clean energy and we are well positioned for the inevitable congressional action that will be required to address reductions in carbon in the future. I want to thank you for joining us today and for your continued interest in FPL Group. With that, we'll turn the call over the questions. Thank you.
Operator: (Operator Instructions). Our first question is from Dan Eggers from Credit Suisse.
Dan Eggers: Hey, good morning.
Armando Pimentel: Good morning, Dan.
Dan Eggers: With some of the pressure we're seeing at the utility, and there was already concerns that you were going to earn under your allowed ROE. Is there any thought or opportunity to maybe to accelerate when you file the rate case and maybe do this sooner rather than waiting another year to do it?
Armando Pimentel: Let me go ahead and give you a point on that and turn it to Armando Olivera. We didn't address what our ROE is for the quarter. But we don't expect to be under 10% which is the minimum that we agreed to back in the 2000 rate agreement, either for this year or for next year. If we were that will be an opportunity to do something a little bit sooner. But let me turn it over to Armando just for couple of more comments.
Armando Olivera: I think Armando addressed that. If you look at our most recent filings with the PSC, we are above the 10% threshold that was embedded in the rate agreement. So we don't see a path that would have us below that range before this current agreement expires.
Dan Eggers: Okay, great. And just looking at how well the Texas plants did in the second quarter, I don't know if you guys could share any color whether you think there is more of a sustainable trend going on as far as there is higher profitability or was this a little bit more of an opportunistic event given the huge volatility we saw in the second quarter?
Armando Pimentel: I will make a couple of comments, I don't know whether anybody else will have anything. But I hate to say it was just opportunistic. We believe that the environment where those plants are which is up damaging on the North Texas area, is favorable for those gas assets long-term. But to be fair, if you look at forward sparks spreads in that area, they wouldn't necessarily be all that encouraging. Some of the current clearing prices that we are seeing on a daily basis don't necessarily reflect what we are seeing in the forward market. So we remain confident that those assets are in the right place. I don't know that we can certainly say that, we would expect to see what we had in the second quarter, every quarter. We are pretty confident that those assets are in the right place.
Dan Eggers: Okay, and then just the last one. I appreciate the color on the Texas wind development. But over the next say two or three years, is there going to be much capital put in Texas wind ahead of transmission lines getting done or are you effectively done in Texas, going to put money elsewhere for the time being?
Lu Hay: I wouldn't say we are done in Texas. I did have a comment on one of my earlier prepared remarks. That said just please remember that, west Texas isn't the only place to build wind in Texas. I took that out because I thought it was a little too cute. But I will go ahead and say it here there are other opportunities in Texas not necessarily out in the west where transmission was an issue in the first quarter. Dan Eggers - Credit Suisse Okay.
Dan Eggers: I think Jim wants to add some to that.
Jim Von Riesemann: Dan, the only other thing I would add is, we have a national development program, and as we look at both '08 and '09 and 2010, and our opportunities across the country, we have the flexibility given our pipeline to move equipment to where the best opportunities are. So we have lots of options of which projects to develop. We constantly optimize that and we look, frankly every month that where are the best places for us to be developing and target our equipment to where we think both in the near-term and long-term are the best places for us to be putting it. So I think we have a great national pipeline of wind projects. And I feel as good as I ever have about the quality of pipeline and our opportunities for building renewables going forward.
Armando Pimentel: And not to prolong it, but that was what Jim said in our prepared remarks, and that's all very true. We've got a great development pipeline. We shared with you some of our land acres that we've got secured and some of which were pursuing which is actively pursuing those acres, we feel good about our prospects even outside of Texas which I addressed.
Dan Eggers: Thank you, guys.
Operator: Moving on we will hear from John Kiani from Deutsche Bank.
John Kiani: Good morning.
Armando Pimentel: Good morning, John.
John Kiani: On slide 27, you provided an update of your 2009 hedge portfolio. Can you talk a little bit about why the other category in ERCOT decreased about $100 million from your last disclosure down to about $250 million, what's kind of driving that?
Jim Von Riesemann: Yeah, I thought actually nobody looked at those slides, so that's good. We will have to keep these in, in the future. It's primarily some pricing pressure that we talked about and we saw during the first quarter. The build-out of additional wind megawatts out in Texas, so we've adjusted that a little bit down. But I don't, overall that didn't really change our view of what 2009 would look like.
John Kiani: So I'm sorry. So some of the wind assets you said are show up in ERCOT other?
Jim Von Riesemann: They do, absolutely, because if you look at this chart it starts with contracted wind.
John Kiani: Right. And most of the ERCOT wind is hedged financially shorter term, is that the right way to think about it?
Jim Von Riesemann: Yeah, that's right. It's hedged wind is what we call and we don't call it merchant wind. So if you look at ERCOT sparks spread would be our gas assets. Other would include our other assets in ERCOT which is wind.
John Kiani: So it's 90% or 89% now, 90% before or ERCOT other being largely wind I guess, since Lamar County placed you up in the spark spread line, was hedged, how did it decline by 33%?
Armando Pimentel: Well, because it's hedged with power. But we do a very good job in predicting wind. But we're not perfect at it. And one of things that we have to do to manage our hedges is, we have to determine what the wind forecast is for the next day, the next week, the next month. Therefore, we adjust our hedges going forward, a very quick example on the day ahead basis. If we believe that the wind is going to blow more than what we had hedged, we'll go out and we'll try to hedge that.
John Kiani: Right.
Armando Pimentel: Than wait for the day of, if the wind is going to blow a little less, we might have to go out and buy that. So the net affect of that which is, I don't want to give you the impression that that's hugely significant.
John Kiani: Sure.
Armando Pimentel: Affect to that, affects this contribution margin.
John Kiani: Sure. So, did the volume assumption come down or is it the fact that perhaps whatever power contract or whatever power you sold forward is it necessarily correlating with your forecast for the underlying price that you might realize?
Armando Pimentel: You can think of it, as well you just said it, the realized price right. The hedge price doesn't change. We've hedged that in 2009. The hedge price doesn't change.
John Kiani: Do you have basis exposure, meaning, are you selling forward ERCOT West zone or are you selling for?
Armando Pimentel: West, we have a very, very small basis exposure from West to North. But what you're seeing right here, I don't want to get two...
John Kiani: Sure.
Armando Pimentel: But what you're seeing right here, is what I just said. Small price changes caused not by our hedges, hedges are at a fixed price, but caused by the fact that wind is a variable resource, sometimes it blows more, sometimes it blows less, and we have to adjust that to manage our hedges.
John Kiani: Okay.
Armando Pimentel: Is that clear?
John Kiani: Yeah, I think it makes a little bit more sense. And you mentioned that there are other places in Texas to build wind. Are you referring to the South zone, perhaps?
Armando Pimentel: I'm going to let Jim answer that question.
John Kiani: Okay.
Jim Von Riesemann: John, we don't not just for competitive reasons don't like to talk about.
John Kiani: Sure.
Jim Von Riesemann: Where we are developing things and I will go back to what I said before which is, we continue to think Texas overall is a good place to be developing winds. It's just a part of our portfolio of what we're looking at.
John Kiani: Sure.
Jim Von Riesemann: We have projects, we just did a pretty detailed review, Mitch and the team last week, and we have projects in 12 or 13 states that we are looking at right now. So it's been historically an important part of what we are doing. It's going to continue to be an important part. I think what has gone on with the Crist decision, is very positive for the long-term growth of wind in Texas and as Armando said in his remarks, we operate our Texas business as a single portfolio and it actually performed extremely well in the second quarter, we're very happy with our overall results in Texas in the second quarter.
John Kiani: Thank you very much.
Armando Pimentel: Thanks, John.
Operator: (Operator Instructions). Our next question is from Steve Fleishman from Catapult.
Armando Pimentel: Good morning, Steve.
Steve Fleishman: Hi. Can you hear me?
Armando Pimentel: Yes, go ahead.
Steve Fleishman: Okay, great. Yeah, I had a couple of questions maybe related on the same issue. Why would the expected gross margin still be about 89% or 90%, when the actual EBIT came down a $100 million? And if you're not going to get it there, where were you going to get the $100 million somewhere else?
Armando Pimentel: These are ranges, pretty wide ranges, in certain categories. What is not on here, by the way, just so that we are on the same page, what's not on here is, interest expense is not on here, contract restructurings, which we've reported in the past are not on here G&A is not on here, so, there's plenty of places to get it from. The fact that we didn't change one of the other ranges doesn't mean that in our internal forecast that everything stayed the same. So I wouldn't look at it as or gee whiz other ERCOT has gone down by X million and no other ranges have changed so that must be $10 million less. That's not necessarily the way to look at the slide.
Steve Fleishman: Okay. One other general question maybe related to Texas. First of all, I don't know exactly the number, maybe you could help, but how much generally the wind in Texas plants run kind of capacity factors are on-peak and than off-peak. I have heard something like they run 60% of their hours, are capacity factors off-peak and 20% on-peak. I don't know if that's roughly where you are?
Armando Pimentel: Steve, I don't have those numbers.
Steve Fleishman: Okay.
Armando Pimentel: I don't have those numbers in front of me, I'm sorry.
Steve Fleishman: But I guess it leads into kind of curiosity. But do you guys think it makes economic sense to add 18,000 megawatts of wind in Texas and even with the transmission there getting it to the market, what does it do to the power market?
Armando Pimentel: What will it do to the prices in north and south is your question, right?
Steve Fleishman: Well also kind of, if the plants run more off-peak and not as much on-peak, are you really addressing on-peak issues?
Armando Pimentel: Yeah, I can address it generally, and it's probably not going to be sufficient for your purposes. Clearly, when we go in and we determine whether to we're going to put in a project or not. We look at a whole bunch of factors, transmission being one of the things that we look at. But we also look at, what's going to happen to prices in other regions. Before some of these transmission issues start creeping up in Texas, when we were determining whether to put a plant up in West Texas or not. We were concerned with what was going to happen to prices not only in West Texas, but also North Texas. Clearly with CREZ whether you put the wind project in the west or some other area, that electricity is going to make its way to the north and to the south and it's going to affect prices there, which is going to affect the economics of your decision making. So, for us, I don't think I can give you a general answer. But, I would say that prices will be affected by adding 18,000 megawatts of wind. And we are looking at how prices are affected in order to determine whether it's economic for us to build it or not.
Lu Hay: Let me add a couple of things. First of all, just through the whole CREZ process. The Texas PUC looked at a lot of factors. But, obviously, they wouldn't be investing $5 billion in more transmission, if they didn't think more wind in West Texas made any sense economically. Secondly just to maybe a related comment, maybe this is really what you're driving at, Steve. But I think this could have as a modest, why I'm going to do things that we don't think they are economic. And I think one of the things we have talked about for years is our financial discipline on these matters. And so we'll continue to monitor what's going on in the market. But we still think we are putting in, we have great assets already and we have some interesting plays both short-term and long-term in Texas. So I would say stay tuned. But, I think this could have some pretty significant implications, if maybe you own some coal assets in Texas for instance because there's an awful lot of generation. But, you're right a certain amount of wind is definitely off-peak. And this could have some implications and therefore some sizable benefits for the environment in Texas. So, let's just see how it all plays out.
Steve Fleishman: Okay, one last specific question. Just on, you mentioned the wind resource was I think a 117% in the quarter?
Armando Pimentel: Yeah.
Steve Fleishman: Now you're used to have kind of a rule of thumb and it's been hard to use that exactly recently. But just roughly, is there a way to estimate how much of that above normal resource helped in the quarter?
Armando Pimentel: Yeah, I think the best way to look at our wind index is really as a trend line. We continue to work internally on a better way to show our investors and our shareholders and others, a better predictor if you will. We don't have a better predictor now. The wind index for the second quarter this year was 117, for the second quarter last year I think it was somewhere around 97 or the high-90s. But it's not appropriate to assume that since the wind index was 117 and 100 was normal, that our wind assets were up 17%. We try to lay that out in the slide. We build that wind index from information that theoretically you or others could go out on the website and get anemometer information; wind speed information from airports and others; it's a complicated and delicate process. You've got to go from that information that's publicly available and you got to get back to where our wind turbines actually are. So on slide 32, we go through the whole process of how we get from that to our earnings per share or earnings contribution. And as we've seen and I addressed this in the first quarter also, when the question came up. As we've seen, our wind index is not a great predictor of the earnings contribution of our wind assets. So short answer is, we think it should be used in a trend analysis. If it goes up, you should expect higher earnings from our wind and if it goes down you should expect less earnings.
Steve Fleishman: Okay, great. Thank you very much.
Operator: Our next question today comes from Paul Ridzon from Keybanc.
Paul Ridzon: On an incremental basis, what did the Seabrook outage cost? And can you just give a little more flavor as to what happened at existing assets whether they consolidated flat?
Armando Pimentel: Yeah. The Seabrook outage was I think that was in the prepared comments; it was $0.10 for the quarter.
Paul Ridzon: Were there costs free in last year?
Armando Pimentel: I'm sorry, Paul?
Paul Ridzon: Was there an outage in your last year?
Armando Pimentel: No, not in the second quarter, no. It was a scheduled outage this year in the second quarter. There was no scheduled at Seabrook in last year's quarter, so it was $0.10. And that the existing assets really could be, that's a $0.10 negative if you will, on existing assets. And the rest of the story on existing assets is a positive $0.03 on existing winds assets and a positive $0.05 on our gas assets in ERCOT, and there's $0.02 in there kind of flopping around, but those are the pretty significant points.
Paul Ridzon: So the 20 basis points of wind resource, was about $0.03 in the quarter?
Armando Pimentel: How did you get to 20 basis points?
Paul Ridzon: From 97 to 117, wind resource to get in our basis points.
Armando Pimentel: No, no because that's you're mixing apples, oranges, tangerines and a bunch of other fruits there. The wind index is a total index for the entire portfolio. The $0.03 that I just gave you is existing assets. The new wind assets and again, we're mixing things, but I'm just to let you know, the new wind assets were a $0.08 I believe, they weren't there last year, they are this year, so that's $0.08. Problem is that you just can't say $0.08 plus $0.03; $0.11 is 20 basis points, because those new wind assets came in over a 12 month period. And we owe you something. We owe you a better way to predict what's going on with our winds, so that you can use it in your models and so on. But for right now, I would use our wind index only on a trend basis. If it's gone up, we should expect higher earnings from our wind assets and if it's gone down you should expect less.
Paul Ridzon: Aside from generation in Texas, what happened at your retail business with all the volatility and other players going out of business?
Armando Pimentel: Yeah, the retail was slightly down. But we're still signing up customers and we're still committed at least at this point to that business.
Paul Ridzon: And you're comfortable with your hedging strategy there. That you're not going to see some of the troubles others have?
Armando Pimentel: We are comfortable with our hedging strategy. We certainly hope not to see the troubles that others have. I think it was May and June, maybe it was June it was a pretty volatile market. But we were comfortable with our hedging strategy then and we continue to be on the same one.
Paul Ridzon: And just lastly, any read through on what's happening in Washington with PTC extension?
Armando Pimentel: Yeah. I'm going to let Lu comment on that.
Lu Hay: Well, thanks. What made me the expert on that PTC extension, it seems like every week there's either a new proposal in the Senate or the House, frankly nothings really changed. We still have both the Senate, the House, Republic and Democrats want to see something happen on this front, but it's just a battle over Paygo. And we're hearing talk in the aisles about some possibility of some bipartisan compromise, proposal. But I'm not holding my breath waiting for that to happen. Something could break soon or we could be the whole way in to sometime in the new administration before something happens there. So I wish I could tell you more. But I really don't have anything more to say.
Paul Ridzon: Just hurry up and wait, right?
Lu Hay: Just be prepared and be flexible.
Paul Ridzon: Okay. Thank you very much.
Operator: Our next question will come from Phyllis Gray from Dwight Asset Management.
Armando Pimentel: Hi, Phyllis.
Phyllis Gray: Good morning. My questions have been answered, thank you. Armando Pimentel Thanks. Jim Von Riesemann We got time for one more question.
Operator: And that question will come from Angie Storozynski from Macquarie.
Armando Pimentel: Good morning, Angie.
Angie Storozynski: Good morning. I have a question. So, we have 400 megawatts added so far. We have a goal of 1200 to 1300 and we have a production tax credit expiring by the end of the year. Should we think that this is a risk that some of your assets will not qualify for the subsidies? That's one question and second question. I know I spoke about it with you guys, but I want you to address it again. If you think that recent changes to the interpretation by the IRS of the federal tax credits and the eligibility of utility for it, will somehow impact your growth perspective for wind assets, basically, its rate-based wind will in any way threaten the pace of growth, basically of your wind portfolio?
Armando Pimentel: Okay. Now, I have a quick answer to the first one, which is no. But, I never like to give quick answers because let's just place it in context. We are committed and our schedule show that all of the assets that we have in construction right now, will be built by 1231. But just as a clarification, because some people really don't understand this concept. I am sure you do, Angie. But the way the tax law works, it's a per turbine kind of installation concept. So even if you think of a 200 megawatt wind farm that you're putting up, if that wind farm doesn't get connected if you will until January 10th. But you've got let's say 95% of it up and connected at 1231. You get it under the wire if you will, for whatever's up and running. It only be that additional 5% that you don't get PTC on. It's a turbine-by-turbine measure. So that's the longer answer. But the shorter answer was we expect all that we talked about today to be operational by 1231. On your second question, I don't want to say it depends, I would rather say no, its not going to affect our plans. We don't think its more competition. The reality is, that utilities could have earned at the PTCs even before this court decision, it's a structural issue. If they actually would have owned 100% of the wind plants, they would have been able to use those PTCs for the benefit presumably of their own rate payers or deregulated for their own shareholders. It was only in those situations where those utilities were trying to get in to partnerships and owned as an example 50% of the partnership, that they were not unable to buy the total output from that partnership and sell to it the rate payers, that reselling provision if you will, and take the PTC. So from where I stand, they could have done it before, for structure purposes, for whatever reason they didn't take advantage of it. I'm not sure it's really going to increase the competition that much. Clearly, I am aware of at least one utility in the Northwest that has said that this is a great thing for them. Honestly, they could have done it before with a different structure. So I hope that's responsive to your question.
Angie Storozynski: Okay. Thank you.
Lu Hay: And that concludes our call today. Thanks for joining us everyone.
Operator: That does conclude our conference call for today. Thank you all for your participation.